Operator: Hello and welcome to Wizz Air Fiscal Year 2021 Results Call. Throughout this call, all participants will be in a listen-only mode and afterwards, there will be a question-and-answer session. Just to remind you that this conference call is being recorded. Today I am pleased to present József Váradi, CEO of Wizz Air. Please go ahead with your meeting.
József Váradi: Good morning everyone. Thank you for joining this call. So, this is to present the fiscal 2021 annual results of the company. And with that let me take you through the presentation we prepared for you. So, moving to presentation. Let me just give you some highlights to how we are seeing this business performing and what news we have with regard to the future. Clearly, it's been a very challenging year, the toughest year for the industry, the toughest year for Wizz in our history. But at the same time, I think as every reset, it has also created a significant number of opportunities for the airline. And we have been trying to take advantage of those opportunities. But of course we've been dealing with issues as they arise day-by-day, but we have been keeping an eye on our future and we have been strongly invested against the opportunities as we move along the lines. We believe that we are a stronger airline today than a year ago despite the fact that our own performance was almost marginal relative to previous times. I mean we lost 75% of our revenues during the year. But relative to the market, relative to our competitors, we believe that we are a better and a stronger business than ever before. We have been very disciplined on managing liquidity. We ended the financial year with €1.6 billion of cash. This is significant and that makes us obviously very resilient and not only resilient, but kind of investable when it comes to investing into new markets into aircraft. And those two strategies have been fundamental for building long-term structural competitive advantages for the airline during the pandemic. We retained our investment-grade rating by both Moody's and Fitch. That is relevant not only for the feel of it and the look of it. But certainly for financing aircraft, we have been taking significant aircraft deliveries, new aircraft deliveries during the past year and we'll continue to do so going forward. As a matter fact our fleet has grown 13% during this period. So, we need to take out financing in quite a significant magnitude for those new aircraft deliveries. And obviously, our credit rating flows through the cost of capital deployed against our final -- of our aircraft delivery stream. So, it is very important that we maintain investment-grade credit. And it's not just been the fleet that has grown during the period, but we have much broadened and enlarged our network or footprint during this period. We opened up 18 new operating basis in this period or at least announced some of them yet to be open. And we have been trying to take advantage of the market opportunities as they arose during the period. Obviously, our capacity, our growth have been much wanted by the market. We have one of the very few airlines in Europe who actually can deliver growth to airports and we have been benefiting from that. We set striking good commercial deals for the long run and tapping into very attractive markets. We are ready to move. We have created a lot of flexibilities in the company. We can move back up we can move people with the aircraft. That has made us very agile and I think we continue to be very agile going forward. Depending on the operating circumstances, we will see how restrictions will evolve, we are ready to go. And we think that the consumer is there. The consumer actually wants to fly, wants to move. There is nothing wrong with willingness to travel. If you look at the US, the US is already at 80% versus 2019 and is expected to exceed actually 100% for domestic flying in peak summer. So, we think the consumer is totally intact and want to come back into the franchise. It all goes down to travel restrictions and Europe has not done too well with that regard. It's been a roller coaster in the last year significant uncertainties going forward. And that kind of taints in a way our ability to guide you on fiscal 2022 because I think it is actually quite a broad range of outcome that we may end up with in the end depending on our ability to -- depending on our ability to operate within the framework of restrictions or no restrictions. So, I think, we need to see how markets get. Honestly, the good news, obviously, is vaccination. I mean vaccination has been rolled out more aggressively in certain countries, but now everyone I think is catching up certainly in Europe. So that should make a significant difference. I think we also understand that various new variants could affect this whole paradigm, but this is yet to be seen. So we are cautiously bullish. We are certainly very upbeat with regard to our ability to move quickly as the market opens up and we will do so. So if we move to the next slide. This is the footprint of the airline today. A lot of expansion during the pandemic hundreds of new routes launched and a very significant network today. We are operating to 48 countries in total. As said, we added 18 new operating bases during the year. So this is a much enlarged and enhanced operating network certainly a much enhanced commercial network, but we are selling them what we had a year ago. We've got a number of recognitions during the year. I would note that Wizz Air is the very first European airline if you can think of starting as a European airline which is certainly -- I think Wizz Air our license number is 001. We are the first European airline licensed by EASA. We think it's a significant move and that gives a significant path for ability to expand and scale our business not only from a commercial perspective, but also from a regulatory and operational perspective. If we move the page. As you can see as I said at the beginning, we are a better airline than what we were a year ago relative to the market. We have gained trends pretty much in every core markets we operate from in Central and Eastern Europe, but also in select markets in Western Europe. Some of it is obviously our ability to have been able to take advantage of the pandemic and some of it obviously is rising from the weakness of our competitors. And clearly what I think is going to happen post-pandemic is that we will be a much strengthened business platform operating a newer fleet of aircraft at much lower operating cost than our competitors that we have to rely on aging aircraft and higher operating costs and this is being a commodity, obviously, triggers given around the basis of who delivers the lowest cost -- lowest cost prevails. And we are just going to further enhance our low cost position in the marketplace. And with that, let me hand it over to Jourik.
Jourik Hooghe: Thanks, József and good morning to all. Let me just have a few financial highlights for the year and also some color on the last quarter. So on page 5 here in the deck, you'll see that our revenue was down 73% and quarter four revenue decline was not different, it was down 74% given the restrictions that continues also into the entire quarter. We reported an underlying loss of €482 million for the full year with a loss for quarter four at €222 million. And the reported loss for the year was €575 million with the difference between those two numbers being the exceptional losses linked to the discontinued hedge losses. Given where the fuel prices are and the hedge coverages of IFRS 22, we don't believe you will have major exceptional items going forward. And overtime we can just go back to one reported profit number. And, sorry, József highlighted the total cash number was €1.617 billion and we'll come back to that a little bit later.  On the next slide page 6. You will see that the total costs were reduced with 46% and ex-fuel cost by 38% versus last year. Recall the ASKs were down 64% -- 63.5% for the period. And you will see that the costs that were almost fully variable were obviously few airport charges distribution and marketing costs. We also reduced stock costs 43%. I mean recall, we don't meaningfully benefit from favorable schemes in our region. We reduced growth with 19% back in April 2020 and the same month also the salaries with 14% on average. So there was a big reduction on the employee cost, on the staff cost even though during the last quarter -- quarter four we reversed some of those, let's say, salary reductions for the lower earning incomes cabin crew and office staff, while we kept obviously these reductions in place for executives and pilots. Maintenance and depreciation are the two cost buckets that were more rigid. Obviously, we want to keep our aircraft air worthy even if we don't fly them and we also started to redeliver a certain amount of aircraft and even accelerated some of that into the year into quarter four. This brings us to our liquidity on the next page. If you look at liquidity here, we're finishing the year as said at €1.6 billion. So it's ahead of the €1.5 billion where we started the year. But, of course, a lot has happened in between. We issued €300 million commercial payable with the Bank of England under their CCFF program and we issued a three-year bond in January 21 of €500 million. From a cash point of view, you can see from a cash burn point of view, you can see that we've actually done despite all the adversity a relatively good job. With the cash burn highest in the first quarter of the fiscal year and in the first quarter of the year making up 95% of the Q1 to Q3 cash burn, with a pretty good summer cash performance even at the time when we are not back to full schedules. And also in quarter four, I mean, it was a relatively difficult quarter in terms of operation with still a lot of restrictions. We only were €84 million. Recall our guidance in the last six months of the fiscal year to €70 million per month in case of full grounding so burning only €84 million in the quarter where we operate just over 20% of capacity is a pretty good performance. On slide 8, you see little bit more color on the last quarter. The all-in cash burn as mentioned €28 million per month or €84 million for the quarter. As we mentioned, we maintain the investment-grade rating. We do not have overdue refunds with passengers we've had some French cases, who link to for example expired cards. The upsell revenue remained at the level where it was in December, so around €55 million, which obviously holds potential for the futures as our bookings will come back and that balance sheet account will kind of flow back up. And then the -- obviously, we continue to focus on our contribution as a key principle for the operation. On slide 9, just to close off on the financials. Speaking a little bit on the ancillary revenue, we continue to reiterate our strong performance and capability on ancillary revenue. On a like-for-like basis, ancillary revenue is up €5.7 per passenger. Of course, there are some tailwinds here because of COVID-19 both in terms of uptake on current products in the portfolio, but equally in terms of pricing, because obviously pricing in the last couple of months has been relatively or at least the demand has been relatively in the last week. But still we have strong confidence for the future to have ancillary being in line on a like-for-like basis with our long-term target of €1 per passenger per year. And we just -- I mean, that clearly makes up more than the majority of our total revenue, which again is really critically important for model as we're trying to stimulate demand with low fares and have the partial or full offset within that period. And with that, József back to you. 
József Váradi: Thank you Jourik. So if you look at the focus of the business going forward and the focus what we have been really putting into this business, of course, we remain very intact on our ultra-low cost model. As a matter of fact, we're seeing that given the times, given the challenges in the industry the ultra-low cost model prevails more than ever. And it is the model that is expandable, that is scalable and we have been trying to take advantage of that and making ultra-low cost even more ultra-low cost going forward. As said, we have much focus on diversifying our network. We have a significantly enhanced and enlarged geographical footprint today than before and we're seeing that benefits the business. I mean, clearly, we see that due to the roller coaster effect over the past 15 months, we saw certain markets performing well in the period and some others performing much weaker and then they kind of reversed. So -- but we always had markets outperforming, the rest giving the sources for financial solid performance, liquidity performance. So, clearly, the more diversified you are as a network as in the greater your abilities to deal with issues like the current pandemic. We think sustainability is a big deal, and it will be an increasingly big deal going forward. Clearly, we are best positioned for sustainability given the aircraft we operate the efficiency of that flowing through from a sustainability standpoint and as well as the operating model that we have and how efficiently we are flying the passenger. So we are already leading the pack when it comes to sustainability carbon impact of the European airline industry. And we're seeing that our continuous investment into aircraft technology will give us more scope for leadership, and we are working on exploiting that leadership profile. And we have been further digitizing our business, our operating platform many ways, and I will touch base on that later on. So if you move to the next page, please. I would just like to highlight a few things here, how we are enhancing our ultra-low cost model going forward. If you look at the first chart, we are up-gauging and we are going to operate a younger fleet of aircraft going forward. And both will significantly benefit the business from an economic standpoint. Obviously, a younger fleet of aircraft delivers lower unit cost and the gauge and up-gauge fleet that delivers lower production cost. So we are going to benefit from both in the coming years, which I think is a significant source of competitive advantage going forward. Jourik touched base on ancillary revenues. Ancillary revenues are a significant source of competitive advantage for the business. You can see that we have outperformed the industry, and we would expect to outperform it going forward as well. So, we will remain very focused on this line of business. So, we'll be on secondary airports. Secondary airports are strategically important to us. We had a high utilization model. So, even if keep the act of in the air -- when you devote capacity to primary airports, you become more constrained. And that operationally requires more ground time. So, secondary are not only important because of cost delivering a lower cost operation, but also for utilization delivering a more asset utilized operating model. And we have a way to go to catch up to previous productivity levels. If you look at load factor, currently we are performing 64% load factor. And this is a significant gap to 94% where we were in 2019. But we believe that we're going to be back to that level very quickly, once the markets become unrestricted. And same with asset utilization basically dropped to a third versus where we were before. And as we are ramping up and the markets become unconstrained, we're going to be revamping our operating platform to this level. So, there's a significant way to improve productivity to get back to previous levels. So, if we move to the next slide please. We have talked a lot about this, how we have been diversifying our markets. We opened up 18 new operating bases during this period. And you can see that it's been very diverse. So, some of it happened in -- invested some of it in our core Central Eastern European markets, and we also opened up Abu Dhabi in the East. It's a much more diversified network than before. And obviously that gives us a significantly improved ability to deal with the headwinds coming from situations like COVID. Some of these market openings obviously, are trying to take advantage of the pandemic situation. And once we gain experience obviously, we all have to make some choices possibly. And I think we've already started making some choices. And the choices what we have made on the one hand, we are going for Italy very strategically. We think Italy is an investable market. And we should follow through our early investments by expanding our network, expanding our operations in the country and continue to invest by opening new operating base and bringing more aircraft more crews into the country. So, we made a strategic investment decision when it comes to Italy. We feel very comfortable that the market resonates very well with the Wizz products and services. And Italy has been largely constrained during the period, but when there was a bit of an easing the market reaction was very positive to Wizz. And we also made a decision to pull out of Norway as a domestic operator. We continue to serve the market as an inbound airline flying international routes. And basically, this is the trade-off of this investing inbound market for being able to invest in another market in Italy as we said. And also, we are quite excited about the investment what we are making in the UK. We need to see those investments through once the market opens up, but we've already opened Gatwick and Doncaster, and we are looking forward to opening Cardiff in the near future. As such, obviously in that the UK remains a good investment market opportunity for Wizz Air. If you please move to the next slide. Sustainability and ESG in a broader scale are important issues, and we think that Wizz Air is very well positioned for those metrics. You can see that we are already the leading airline in terms of carbon footprint and we continue to reduce our carbon footprint going forward. But obviously, this is the function of the aircraft age, the seat count and the efficiency of operation. Gender diversity is another important metric, we are focused on and that is important at management level as well as crew, especially pilot level. We are really making significant efforts and putting programs in place to make sure that we have diversifying our gender diversity. We are a very diverse business in terms of nationalities. We have 53 nationalities in the company, and I think our culture benefits a lot from that. And obviously, we have a lot more other measures we are looking at like noise or other sustainability-related measures. And we're seeing that, we're going to be able to do very well within our scope of influence in the industry. But obviously, we need to see other kind of bricks in the wall how they play out in terms of technology is developing, affecting the sustainability performance of the industry, and some of the other issues like sustainable aviation fuel, like the whole navigation system, or how that will evolve and how that would affect the industry's performance. But we are very much focused on what we can do as an airline to operate more efficiently and more sustainably in the future. If you please move the presentation, with regard to our digital investments, a lot of investments actually have been happening in that area. As you know, we are the most digital airline. To start with, we have most of our revenues flowing through digital channels. Very interestingly, over the past few years, we are now seeing the app becoming the core channel for interactions with consumers. There is a very significant shift. So I think our investment into that platform is now bearing fruit. You can see the ancillary revenues are reaching record highs. That's important. That's totally digital channel for the company. And we think that all this digitalization is very relevant to the consumer, especially for the up-and-coming consumers coming into the franchise of flying. We don't see electronic flight back making us totally paperless in the cockpit. So it's not only the consumer interface, we are focused on but we are also looking at the operations of the business, the operations of the company to make sure that we benefit from digitalization. And recently, we just owned Amelia, our virtual assistant helping our customer service and helping customers with their interactions with the company. So if you please move. Talking about the outlook of the business, as said it is difficult to give exact guidance to you taking the uncertainties into account out there with regard to the regulatory framework and travel restrictions. But certainly, what you can see is that we have been incredibly agile during the last year. When the market opened up, we significantly outperformed the market. I think it just comes down to our ability to move very quickly. But also, when the market became highly restricted we took more capacity out than the rest of the industry. And I think that comes on the basis of our financial responsibility. I mean, we are not sentimental with like cash contribution positively flying. If that doesn't make sense then we simply don't fly. So we are not going to fly for the sake of flying as in many airlines do that. But we are financially very disciplined when it comes to operating flights under distressed financial or regulatory environment. The good news is that, I mean, we start seeing some easing there was an own period when every single flight we operated fell under some restriction. And now we are seeing that around 10%, 15% of our flights are becoming unrestricted. And as a result, you see immediately how the market reacts and our consumers react, and want to come back to the franchise. So, if I look at last week, we operated 30% of our 2019 capacity of the same week, but we sold 70% of the revenues versus the same reference period. So clearly, we are seeing a turn of the market consumers coming back. If you please move. Just to give you a quick outlook for so much as we can say. Travel restrictions mobility restrictions remained the issue and we determined the pace of recovery and timing of recovery, and actually the results of our fiscal 2022 financial year. So that's why we are ready to on what guidance, we can give you, because, if we operate in an unrestricted market, we would deliver totally different results and financial performance versus operating through a restricted market. We just need to understand how that's going to play out. What's important from our standpoint is that, I think we are ready to do with any circumstances with any situation. As said, Q1 capacity is going to come in at around 30% capacity level. And the rest of the financial year will really depend on the restrictions prevailing. Having said all of that, I think we have adopted the principle of cash positive flying and we're only going to be operating a cash positive flying program. So if the markets are unrestricted, we do more. If the markets are more restricted, we do less. But we stay very financially disciplined with that regard. With regard to peak summer, we are expecting 2019 levels even higher levels than 2019, again subject to restrictions. But this is what we are planning on. And we're seeing that, sort of the second half of the financial year would kind of fall in line, at least or summer to go to 2019 levels. But again, if we are seeing an unrestricted market, we can do much better than that. We are adopting or readapting, the cost disciplines of the business model, to make sure that we are getting asset utilization back to standards, 12-plus hours. And we are getting productivity back to standards, when it comes to personal productivity -- labor productivity of the business. We believe, we continue to perform strongly on cash. Liquidity has been our most important priority. We think we have reserved liquidity quite well. And going forward, this business will be very strong, on liquidity position. We are returning to, some normality's with a proven model. And that is around stimulating demand growing ancillary revenues penetrating more-and-more consumers through digital platforms. So we're seeing that as the market gets somewhat normalized, our model also we operate in a much more normalized way, similar to the previous experience. And with regard to fiscal 2023, I mean, this is kind of long-time out, certainly given the times we are in. We think we should be kind of swinging back full steam at that time, certainly in capacity. But we also think that given the competitive advantages this business will be able to deliver that time, that kind of an event we have flow through the financial metrics largely as well. If you please move, so just to wrap it up, we think we are well positioned to take advantage of the pandemic. It is an issue we have to deal with day-in and day-out. But at the same time it is also a great opportunity for the business to reset ourselves in the new competitive landscape. And we're seeing Wizz Air will come out of. We have a strong -- a very strong liquidity position, probably much stronger than the rest of the industry and balance sheet. And those are enablers of the airline to capture these market opportunities. So actually, we can invest. So we are not just surviving every day but we are investing into our future. We are investing into markets. We are investing into aircraft. And we will follow through those investment plans going forward as well. We are totally geared, for pretty much an immediate restart event, subject to market conditions, subject to regulatory restrictions. We have developed the flexibilities to move capacity, to move back-up, move people with the aircraft pilots and cabin crew, as acquired by the market or as the markets allow us to move. We are well positioned for sustainability. We think it's going to be one of the strategic agenda items of the world in the next decade. And we're seeing actually there is no better airline in Europe to perform against ESG sustainability, expectations than Wizz Air. So we think it will be another source of company to take advantage for the business going forward. As said, fiscal 2022 outlook remains uncertain, because it is largely subject to restrictions prevailing restrictions imposed by governments. But as far as we are concerned, we are ready to go. And I think we are able to restore many of the operating parameters of our business model that have been making us successful in the past. And we are fairly confident in our ability to recover quickly quicker than the industry, and to start seeing kind of full swing performance standards on capacity, on our revenue and the financial metrics going into fiscal 2023. Thank you. And I think that gives you the floor for questions.
Question-and:
Operator: Thank you. [Operator Instructions] We have a question from the line of Daniel Roeska from Bernstein Research. Please go ahead.
Daniel Roeska: Good morning gentlemen. Three, if I may. One, you said your outlook for 2022 is cloudy but referenced that you're back at kind of full speed in 2023. What's the min/max range? You're currently considering for financial year 2022, maybe in terms of passenger numbers or relating to the size you had in 2019? Following on from that, could you talk a little bit about your staffing levels. And kind of since the lack of furlough schemes makes it a little bit more difficult, how do those staffing levels impact your min/max scenarios in the next 12 months? And then lastly, could you -- you mentioned the EASA, AOC. I guess this was granted back in August. What's the impetus here? Are you planning more operators in Europe? What's the key advantage for you, since the U.K. AOC isn't related to the EASA AOC? Thanks.
József Váradi: Okay. Thanks Daniel for the questions. On the first one, I would say, I mean the min/max it's very difficult to call. But I would say between 60% to 100% of capacity is fine is what we would be looking at for the remainder of the fiscal year, maybe 100% will not be there immediately yet. On your second point from the starting level because that's where we are. At this point in time, we will gradually build up the capacity for as we see progress in a more solidify way. But that's the range you should look at for addressable market.
Jourik Hooghe: So with regard to stocking level, I think we are able to ramp up to around 90% operation at this point in time. And, obviously, with a few more months down the line, we can reinstate some formal employment with the pilots and cabin crew and we can recruit from the market. But our current capacity level allow us to ramp back up to around 90% level in a very short space of time for peak summer. So I think we are fairly relaxed with that issue. It is not really our ability and our internal capacity to be able to ramp up. I think it's much more down toward the restrictive nature of the regulatory frame will allow us to achieve in summer. With regard to EASA, I think the benefit of being governed by EASA is that first of all it is the European regulator. So you are closest to the fire with them too. EASA has capacity to expand its regulatory oversight. Hungary is a relatively small country with somewhat constrained resources available at regulatory level and we just wanted to make sure that we don't run into bottlenecks with that regard. So being able to deal with the regulatory set, I think we have much greater influence in standards affecting some operating procedures. I think as we are learning from EASA they also will learn from us. And certainly we are eliminating potential bottlenecks in the future for expanding our business. But with regard to the U.K. AOC, the U.K. AOC is important because that gives us the regulatory platform for being able to serve the U.K. not only from the European Union, but also from countries where we can have operations from the U.K. to those countries. And we will be looking at expanding that network in the future. So it is important that we have the right base to go with. I mean, we have to recognize that U.K. is no longer a member of European Union that requires a different level of regulatory compliance than before.
Daniel Roeska: Great. Thanks.
Operator: Our next question comes from the line of Mark Simpson from Goodbody. Please go ahead.
Mark Simpson: Yeah, morning. A couple of questions some on cash flow, maybe for Jourik, and one on revenue mix. On the cash flow deferred income obviously marginal at the end of March. But on the current run rate, would it be reasonable to think that deferred income would be circa €350 million €400 million by the end of this quarter, obviously, very strong presales beginning to be seen. And on the cash flow on a longer term view, FY 2022 and FY 2023, can you give us a net CapEx after refund on the balances assuming all deliveries are based on our sell and leaseback platform, so more annual data for those? And then finally on the revenue mix. Obviously significant progress continues on the ancillary, but pricing on the tickets within the pandemic. I'm wondering as we look into summer 2022, Michael O'Leary, Ryanair was talking about potentially price -- ticket prices being above 2019 level. So I wonder if the mix will favor some inflation on ticket prices going into summer next year.
Jourik Hooghe: Okay. Thanks Mark. So on deferred income, I mean, we are indeed seeing a buildup as you've also seen from the chart that was shown right on the weekly [ph] sales program. Now we're not building up to €350 million levels for the quarter. It's still significantly lower. So we will see a lower cash burn in the quarter than the €84 million in part, thanks to the good cash discipline, but also due to deferred income but the levels are still relatively modest because the booking window is still 50% of the booking or within two weeks, 80% of the bookings are within a month. So it's not yet that we're already booking-in here August and September to a large extent. On the CapEx level, I mean this is also like our number that sometimes changes during the year, but the outflows are relatively modest below €100 million or so for F 2022. So that should not be a big ticket item. And then on the revenue mix, I mean -- and the pricing more generally, I think it's clear that there will be a lot of pressure on pricing over this summer. So summer 2021, I think even more so what we see on leisure routes as they open up. There's capacity piling in very often relatively on discipline of control which then leads to depressed pricing. I think VFR is a little bit more hedged from that point of view. So probably on a relative basis, we'll be a little bit better protected. But I think it's no -- it shouldn't be an expectation that pricing levels this summer will be strong. I mean for next summer in theory, so 2022 in theory they could be higher and they should be higher because a lot of the cost structure of the other airlines have significantly gone up. I mean we're one of the only airlines that did invest in fleet that did invest in the network. But if you look at all the other airlines they have done, so they've continued to operate obviously. And there are some cost headwinds that they will be seeing which we're not seeing. So yes, it could be that the pricing is higher. But again, I mean history doesn't really speak in advantage of a very rational pricing environment in this industry.
Mark Simpson: Yeah, Jourik, just going back on that. It's not so much a comparison there FY 2022 summer on this summer. It would be surprising, if prices didn't rise it's more of a comparison FY 2022 on the sort of summer 2019 on the basis as I say by that stage we should be in a full demand recovery?
Jourik Hooghe: Yeah. So the summer of 2022 versus the summer of 2019, it could be that we're back at those levels, because rationally speaking, it should be the case. We will need to see what the capacity discipline is in that summer. But yes, I think that's a good base plan that it will be roughly the same level as summer 2019. This summer 2021 I don't see that. 
Mark Simpson: Yeah. That's great.
József Váradi: Mark, I mean, I think one thing you can certainly say is that the unit cost level of the industry in 2022, summer 2022 will be higher than what it was in summer 2019. I mean a lot of headwinds we developed for many airlines. I mean we shall see how state monopoly charges will evolve like Euro Control et cetera. But certainly, the cost that's coming from an aging fleet will be significant. And with that regard, I think 2022 is going to be a deteriorating kind of cost platform for the entire industry. And this was really the point I was trying to make that I think when you put our business in context of that, I mean we're going to be delivering a significant competitive advantage coming out of an up-gauge and renewed fleet of aircraft. And we should be in a really good position to benefit from that situation.
Mark Simpson: Just following that up József, I mean looking at your forecast suggestion of two percentage points of Intra-European market share. I know you gave us CEE kind of originating, but on a broader basis two percentage points of market share this calendar year and next is that kind of what your fleet is suggesting?
József Váradi: Possibly. But to be honest, I mean we don't really measure market share. I mean that's not the basis of doing business for us. I mean, it is more like an outcome of what we end up with. So we are not driven by market share. I think we are driven by shareholder value creation. If we look at the investment on the base of profitability, return on investment et cetera. And if it comes with market share great. And I think this is going to come with significant market share, because I mean, if you just apply the logic of being more cost competitive in that commodity coming out of this is a significant source of competitive advantage and we will have a much enlarged fleet. And on the one hand we have the new aircraft delivery program, but we also have another lever on capacity and this is the return of aircraft of existing leases. I mean we can extend those and you can extend those leases basically at no cost to almost no cost at this point in time because lessors don't have alternatives to place those aircraft. So we are certainly looking at all these opportunities and try to model what we can actually do and we have levers to do it properly as very low cost competitively versus the rest of the industry.
Mark Simpson: That’s great. Appreciate that.
Operator: Our next question comes from the line of Jarrod Castle from UBS. Please go ahead.
Jarrod Castle: Thank you, and good morning everyone. Can you just give us a little bit of color in terms of non-EU markets in terms of travel restrictions. Obviously, the EU is trying to get off the vaccination passport by I guess the end of June. So how do you see things playing out in non-EU markets in terms of restrictions looking into the summer? Just coming back to the market share commentary, it's an interesting slide on page 4 because it looks like you've taken more market share from LCC going from 40% to 46% rather than from the legacy airlines. So are the legacy airlines growing more on short haul to compensate for long haul? Or am I reading that wrong just given the relative mixes? And then, in terms of looking a bit further out, I mean, you've obviously got at the moment very, I'd say, elevated levels of accelerated revenue mix. How do you see this normalizing as traffic recovers? Thanks.
József Váradi: All right. So, let me start with the non-EU restrictions. Yes, I think it's fair to say non-EU is more restrictive than the EU, although, the EU is also somewhat restrictive inside. But we are expecting more restrictions implied on non-EU flying than EU flying. I mean, we shall see how the green pass will evolve and what elements that we really have and how this is going to get implemented. But I think it's a fair assumption that non-EU is going to be a more restrictive. Although, I also think it depends on the value market we are talking about. But we are planning on more restrictions when it comes to non-EU. In terms of the legacies, yes, I mean, it seems like legacies are maybe doing more especially in context of bad markets. When the markets are restricted, legacies tend to fly more than low-cost carriers. But I think this is just a reflection of financial discipline or the lack of financial discipline. Low-cost carriers are financially disciplined. So I think it's not only Wizz Air, but the rest of the low cost industry also implements cash positive flying. And if you have governments giving you €10 billion, then you don't really care and you can apply the same financial discipline. But also, where you see an open market, elasticity market, legacies are hugely beaten and outperformed by low-cost carriers. I think, it just comes from the agility of the model. So I'm not sure how relevant what legacies are doing. I mean, they are just acting on different levels of financial discipline or lack of financial discipline. We stay focused on our core. So we're going to be flying cash-positive network and we are not going to fly for any other purposes than really making money and contributing to cash. And the last question was?
Jourik Hooghe: Yes. I'll take that one, József. So on ancillary, I mean, again, so that everybody is really, really clear on this. If you look at quarter four, our ancillary gross fare per passenger was up €15. Our ticket fare -- and this is versus 2019 -- our ticket fare per passenger was up €10 gross fare. So you can't just extrapolate the current --  [Technical Difficulty]
Operator: Please hold while we reconnect the speaker line. [Technical Difficulty] Please hold. We are currently reconnecting the speaker line. So please hold the line. You are now live.
József Váradi: Sorry, everyone. For whatever reason it disconnected. But we are back now.
Jourik Hooghe: Sorry. So, Jarrod, I don't know if you're still there. Picking up on your last question. So we were saying that the -- 
Jarrod Castle: Yes.
Jourik Hooghe:  -- pricing that we've seen in the last quarter, quarter four, are not to be extrapolated going forward. And really on ancillary what we keep guiding is that we will be €1 per passenger per year higher. So in F 2022 it would be basically €2 per passenger higher versus F 2020. That's what you should kind of put in the model and we continue to see that €1 in the out years, as well as we still have hedge room on products and pricing.
Jarrod Castle: Thank you.
Operator: Our next question comes from the line of Jaime Rowbotham from Deutsche Bank. Please go ahead.
Jaime Rowbotham: Good morning guys. I'll go quick because I've got two for József, two for Jourik. József, you suggest that peak summer capacity this year could exceed the levels you have in place in summer 2019. The load factor back then was about 96%. At the moment, it's 66%. What sort of load factor would you find acceptable or realistic this summer on that level of capacity? And secondly, in terms of the issues you came up against in domestic Norway, is there any risk that as the Italian government tries to relaunch Alitalia, you could come up against similar issues there? And does the experience in Norway mean, you're unlikely to look at other Nordic markets that might have been of interest like Sweden or Denmark? And then Jourik, you ended the year with €1.6 billion in cash or €1.45 million ex-restricted, but you also ended it with €3.15 billion in debt and lease liabilities, so €1.7 billion net debt. All else the same. What do you anticipate as the approximate impact on net debt from taking delivery of 27 A321neos in the fiscal year '22 please? And finally, could you tell us where you're at in terms of carbon credits? Has there been any resetting of your free allowance? Have you done any hedging or forward buying? Thanks guys.
József Váradi: Thank you for the questions. With regard to peak summer, indeed we think, we may do better on capacity than what we did in 2019, but it may not translate into higher passenger numbers. But I think that's to be seen. We clearly would expect better than 66% load factor performance during the peak summer period. Although, I would also say that, we are launching a lot of lesser routes and some of it is going to be one direction at least at the beginning, so that we put some pressure on load factor. But overall, we would be expecting a much longer load factor performance. I mean, I think it's kind of hard to predict at this point in time, what number exactly this business is going to deliver, probably it's going to be less than 96%, but certainly more than 66%. With regard to Norway, I don't think, it has any relevance to Italy to be honest. I mean, the only relevance to Italy is really from a financial standpoint that was an investment decision. So, I mean we don't want to fund Western European market opportunities by constraining strategic profitable markets in Central and Eastern Europe. So, we are only prepared to invest a certain amount of capacity to invest in Europe and we need to make choices. And the choice we made was Italy over Norway. And it doesn't mean that we are leaving the Norwegian market. We are not basing operations in Norway and we are not going to fly domestic services in Norway, but we remain an inbound carrier into Norway. So Norway will still be very important and we will serve it as an inbound carrier. And we have a lot of demand to fly to Norway. But if you look at the Italian situation and whether Alitalia would put pressure on us, I don't think so because of the 17 aircraft, we committed to Italy only four aircraft that are going to Rome, but Alitalia is actually relevant. So most of the capacity, we decided to deploy in Italy has nothing -- but nothing to do with Alitalia. No matter what happens to Alitalia, we would be good to go with that capacity. So our Italian expansion is not really related to what's going to happen to Alitalia. I mean my personal view is that, the Italian government will figure something out for Alitalia, whether it's called Alitalia or something else, I don't know. But it seems to me that under any circumstances, there will be an Alitalia or the like of Alitalia operating in Italy. But our Italian plan is not affected by that. With regard to kind of the halo effect in Scandinavia, I don't think the Norwegian decision has again any relevance to other Scandinavian markets like Denmark or Sweden. I think every market will be looked at on its very merits of the market and we will be making independent decisions. So, simply given the times we are in and given some of the constraints what we have and some of the investment principles, we have been applying in the business. We simply decided to fund the expansion of Italy from previous investments in Norway. That's the rational business decision making.
Jourik Hooghe: Yes. Jamie, on your two other questions. So yes, it's true. Obviously, as we've shown in the liquidity chart, the liquidity position is good, but we are significantly higher in [indiscernible] when we were at the start of the year. However, if you look at our F '23 F '24 projections, we're confident that we can steer the leverage back to close to one ratio by F '24. So clearly, the -- with the cash-generating potential of this business and the business model, we're quite confident to do that. We'll repay the CCFF funds in February and take it from there. So we do not need to do any other balance sheet repair activities, other than just operating our business. And then with regards to carbon credits, I mean if you look at it, I mean one-third of our operation is not exposed to carbon credits. One-third of our operation is having three credits and one-third is kind of exposed to market pricing. So that's kind of the exposure we're having. We're not hedging that but we're taking as it comes. I mean that market is I think under a significant amount of regulatory development with potentially going from 40% industry coverage to a much higher percentage with potentially speculative money coming in. So we'll need to see how it goes instead of speculating just being focused on our own business and our own operation.
Jaime Rowbotham: Great. Thank you.
Operator: Our next question comes from the line of Ross Harvey from Davy. Please go ahead.
Ross Harvey: Hi, good morning, Jourik and József. I just wanted to return to FY 2023 if possible. I know you say in the statement that you'll be operating full capacity. I'm just wondering, does this mean capacity will equal the FY 2020 levels or given the fleet additions? And József, you mentioned the lease returns and the flexibility you have there. Could capacity be more than FY 2020? And secondly, I might ask on the ex-fuel CASK. Obviously, there's a lot of factors around that you have some benefits coming through on staff like some benefits coming through in airports maybe maintenance and D&A under pressure. Can you just talk about where the ex-fuel CASK level will normalize post-COVID and what factors are larger or smaller than the others?
József Váradi: Okay. With regard to your first question I think we are very keen on getting utilization back to previous standards – backwards lowers. So essentially that means for fiscal 2023 that we want to operate the entire fleet of aircraft we have at that point in time with full strength plus hours of utilization. So in terms of capacity, it's going to be – we are expecting it to be 2019 level in terms of utilization but in terms of seat capacity, obviously that would add to growth to it. So we would be probably 30% up versus 2019.
Jourik Hooghe: In terms of the ex-fuel CASK curve was I mean, yes, I think you're saying it in the right way. We obviously need to have all let's say lingering effects of COVID-19 kind of fully disappear restrictions. We need to be able to speed up the turnaround in the operation et cetera. And if all of that kind of comes in the right place, despite the right load factors, we should be steering the ex-fuel CASK very close to the F 2020 levels. So that's kind of our target.
Ross Harvey: Yes. Thanks for that. And one follow-up if I may. Jourik, I noticed that the swung by about €100 million between – or almost €100 million between Q3 and Q4. I mean you should get a gain in Q1, given the movement but it obviously a sense. I'm just wondering would you consider stripping this out of the underlying net income or would you consider additional hedging on this line? Just wondering any thoughts on there would be helpful. Thanks.
Jourik Hooghe: Yes. No actually it's a good question. And we have kind of stepped away from hedging as a company. So we've decided with management, with the Board to no longer hedge any input costs. Some of jet fuel we decided not to hedge any currencies anymore and we decided not to hedge any translational currency exposures. You're rightly pointing out that at this point in time it's leading to increased volatility on the P&L. But again, if you would have hedged that, you would have had that volatility from a cash point of view. Imagine you would have hedged the dollar exposure on the balance sheet. We would have been looking at probably close to €100 million liquidity loss. So we need to do what's right for the business. Hedging has an inherent cost. It's around 4% of the underlying, let's say, commodity or currency that you're hedging. And if you would look at our exposures that would probably mean, if it's two years for 4% and more around €50 million per year. So that's a very large cost but frankly no benefit other than let's say some stability in earnings, which from a balance sheet point of view we just need to work more on natural hedging, which we're looking at. It's not something that we can switch on overnight. But there is things that we can do that. We're looking at to get less exposed from a dollar point of view on liability side, et cetera. So we'll keep working on the natural hedge. We're a bigger company now. We're no longer an IPO sized company that kind of – at that point in time companies typically around IPO, it's good to have some stability in projections and earnings obviously, critical to establish market credibility. But now given that we do have the balance sheet and the strength on the balance sheet. We have stepped away from hedging in this environment, which is significantly more volatile from a trading point of view than it used to be.
Ross Harvey: Okay. Thank you very much, József and Jourik.
Operator: Our next question comes from the line of Carolina Dores from Morgan Stanley. Please go ahead.
Carolina Dores: Hi, good morning, everyone. I have two questions. Looking at the changes in the fleet plan, you went down from 159 aircraft for the end of this fiscal year 2022 to 148. I guess a part of it it's early return of leases and postponement of deliveries. I wanted to know if you could give us a color on savings and what has driven the postponement. If it's just you're not going to use the capacity or there has been a delay at Airbus? And second, if you could give some color on your negotiations with airports. When you're resetting tariffs, are you doing – are you getting these mainly for short-term slots? Or you're actually locking in better deals for the medium term? Thank you.
József Váradi: Thank you for your questions. I think the way to look at the fleet and is that this is an evolving line. This is where we are at right now and we heavily arranged some of the assumptions in a way -- are we live?
Carolina Dores: Yes, I'm catching you.
József Váradi: Okay, there was just some incoming call or something. So, see you're going to see changes to it. I mean this is what I'm trying to say that I mean this is today what you are seeing, but we are working on the fleet program. And obviously, we are looking at each of the market opportunities we have been tapping into and we are looking at ways of best sourcing capacity for those market opportunities. So, I think this is as much as I can comment on the current treatment. So, we just put some flexibility to the numbers because that can change not necessarily to lower numbers. With regard to airports, we are stating long-term this year. I mean I don't think we will ever open a base for getting attractive with a good deal for the year or two. I mean we at least we're going to see five years as a horizon and we want to make sure that the economics of the deals remain effective for a longer period of time and that is the base about commercial leading with airport.
Carolina Dores: Okay. Thank you.
Operator: Our next question comes from the line of Andrew Lobbenberg from HSBC. Please go ahead.
Andrew Lobbenberg: Morning guys. Could you talk a little bit about the attitude of the Eastern European government towards the EU green certificate? Up here in the UK, we're very aware of the caution here and we can see clearly the enthusiasm in the Southern European state to open their market. What are the attitudes in your -- in Eastern Europe? Second question would be around EU ownership. Can you update us on where the EU ownership is perhaps now and then after the conversion of the Indigo tranche? And on their call, Ryanair spoke of building their EU ownership to be majority EU ownership within 12 months. Are you seeing any need to match that commitment or are you happy staying with your distant franchising strategy? And then just perhaps a short-term issue, the closure or the avoiding of Belarus airspace, is that giving you some longer routings on some of your flying?
József Váradi: Okay. Thank you, Andrew. With regard to covenants in Central and Eastern, I don't think they are much different from governments in other places in Europe. I think so far every government has been pursuing its own agenda, pretty much related to neighbors and others. And I think EU as a framework has kind of collapsed on the pandemic. And now the green certificate is an initiative trying to get control over matters and we will see how successful that initiative is going to be. I don't think there is any resistance to that initiative in Central and East Europe. I mean pretty sure if it makes sense this is going to be supported. I mean clearly there is one kind of hanging issue here that which vaccine is a qualifying vaccine. And that may figure some further debate. But other than that, I think the willingness to play is not practically dependent. I mean I don't think that is a particularly Central and East Europe versus Western Europe with that regard. I think the bigger issue in my mind is that over the past 15 months, the EU has gone totally uncoordinated on pretty much anything related to the pandemic. So, that would be the first kind of major initiative and we shall see whether that succeeds or fails. I mean what I'm hearing is that this is still kind of advisory as opposed to mandatory on countries and I think we just need to learn how that's going to play out. And hopefully, it will work and that will kind of re-boost travel, but we shall see. With regard to Belarus, we are very much exposed, we don't fly the country. We have some overflights, but basically those overflights at the moment are non-operational given the restrictions primary in Russia. Once Russia is back, I mean we may see more avoidance needed to be made in our route planning. But at this point in time, it's almost negligible what we have.
Jourik Hooghe: On the EEA ownership, I mean it is around 15%. So, actually on your question on Indigo, I mean if they sell down, then obviously EEA ownership goes up and if there is a conversion back, then it goes down. So, it kind of moves always a little bit left and right. So, there's no major impact really here on this one. On the line -- I'm sorry on your question on the EEA ownership, yes, of course, we are also focused on that. We are trying to appeal more to European investors. But clearly we're trying to manage the ownership and control regulation by a decent franchise, as you know. And then on the lines offline, yes, indeed, I mean, domestic typically is shorter stage length. And less domestic means that indeed to mix will increase again in terms of longer station.
Operator: Our final question comes from the line of [indiscernible] from Bank of America. Please go ahead.
Unidentified Analyst: Yes. Good morning. Just a few follow-up questions one, on the Indigo convertible shares to the ordinary. Why the decision to convert now? And then, secondly on, Abu Dhabi now that you've been operating there, how has progress been so far? And how are the economics in Abu Dhabi so far, compared to say the European network? And then thirdly, can you talk about, on your U.K. plan specifically on Gatwick? And kind of what is your strategy at Gatwick at this point? Thank you.
Jourik Hooghe: So on Indigo, I mean, obviously, the historic approach has always been for them. They basically sold down. And then, they converted. With the Brexit situation basically the articles didn't allow that, but it's still in the benefit of everybody to have increased liquidity in the share. So the company has requested Indigo to convert their outstanding convertibles into ordinaries. And why now it's just I mean, ideally, we have coincided with when they sold down. But obviously, we are not aware when they're selling down. And we had to -- as a company had to look into the articles. And how that may not possible and that just had a little bit of lead time. But typically, those events would coincide. But because of the articles, it is slightly differed in terms of timing.
József Váradi: Okay. With regard to Abu Dhabi, I mean, obviously, Abu Dhabi remains a restricted market as we speak. Although, there has been announcements made in Abu Dhabi how the country sees the reopening of the market. And I think we are gearing our operations accordingly. So I think it's hard to kind of compare the economics of the business to Europe. We are still in a very start-up phase. At the moment we are only operating five frequencies a week, but that we ramp-up quite quickly once the market reopens. We have made some really good progress in getting designations to market. Markets in the subcontinent, in the Russia CIS frame as well as some of the GCC countries. So I think we will have a really enhanced network coming out of the pandemic debt. And then, I guess, once the market opens up we have a much better ground to compare the performance of the market. But conceptually, strategically, I don't think anything has changed. So we think it's the right move for the company. It is the right decision. And we just need to see the results coming out based on our heavy to essentially operate the airline which has not really been the case today. With regard to the U.K. especially Gatwick, as we have expressed before, we are keen on growing our presence in Gatwick. Nevertheless, that remains subject to slot rulings. At the moment income slots are protected by regulation. So that kind of squeezes us. And then, kind of closes the door for a bigger expansion in Gatwick. We have a one hectare, base in Gatwick. And this is organic, so not related to slot alleviation. And we shall see how the regulatory framework evolves. And how the airlines move on, when the regulation changes and would create a different environment for Gatwick slots. But for the time, being no one is moving, because they don't have to.
Operator: Thank you. I will now hand back to the speaker for any closing remarks.
József Váradi: Well, ladies and gentlemen, thank you very much for your interest. We will keep you posted on our developments. And as said, I think, we are very upbeat and very positive with our future outlook of the business nevertheless, short-term. The industry stretched the regulatory framework, around the industry remains stretched out. So this is the situation, we have to deal with. But I think we are building very robust competitive advantages during this period to come out as a better airline as a stronger business. Thank you. Bye-bye.
Operator: This now concludes our conference call. Thank you all very much for attending. You may now disconnect your lines.